Operator: Good day and welcome to the Logitech Fourth Quarter Financial Results Conference call. At this time, all participants are in a listen-only mode. We will be conducting a question-and-answer session and instructions will follow at that time. This call is being recorded for replay purposes and may not be reproduced in whole or in part without written authorization from Logitech. I would like to introduce your host for today's call, Mr. Joe Greenhalgh, Vice President of Investor Relations and Corporate Treasurer at Logitech. Please proceed.
Joe Greenhalgh: Welcome to the Logitech Conference Call to discuss the company’s financial results for the fourth quarter ended March 31, 2014. The press release, our prepared remarks and slides as well as a live webcast of this call are all available online at Logitech.com. As noted in our press release we published our prepared remarks on our website in advance of this call, those remarks are intended to serve and place extended formal comments today and they will not be read on this call. During the course of the this call we may make forward looking statements including forward-looking statements with respect to future operating results that are being made under the Safe Harbor of the Securities Litigation Reform Act of 1995. The forward-looking statements involve the risks and uncertainties that could cause actual results to differ materially from those anticipated in the statements. Factors that could cause actual results to differ materially include those set forth in Logitech’s Annual Report on Form 10-K dated May 30, 2013, and subsequent filings, which are available online on the SEC EDGAR database and in the final paragraphs of the press release and prepared remarks from Logitech reporting first quarter financial results for fiscal 2014. The forward-looking statements made during this call represent management’s outlook only as of today, and the company undertakes no obligation to update or revise any forward-looking statements as a result of new developments or otherwise. Please note that today’s call will include results reported on both a GAAP and a non-GAAP basis. Non-GAAP reporting is provided to help you better understand our business. However, non-GAAP financial results are not meant to be considered in isolation or as a substitute for or superior to GAAP results. Non-GAAP measures have inherent limitations and should be used only in conjunction with Logitech’s consolidated financial statements prepared in accordance with GAAP. Our press release includes a table detailing the non-GAAP measures together with the corresponding GAAP numbers and a reconciliation to GAAP. This information is also posted on our Investor Relations website. The slides that accompany this call include both GAAP and non-GAAP measures and are also available on our Investor Relations website. We encourage listeners to review those items. This call is being recorded and will be available for replay on the Logitech website. Joining us today are Bracken Darrell, President and Chief Executive Officer and Vincent Pilette, Chief Financial Officer. I’d now like to turn the call over to Bracken.
Bracken Darrell: Thanks Joe, and thanks to all of you for joining us. I'm pleased with our Q4 results, which brought fiscal year ‘14 to a strong conclusion. Q4 is another year of good progress and we're ahead of schedule on our three year turnaround plan. Let me describe a few highlights in fiscal 2014. We set sales and profitability targets at the beginning of this first year of our turnaround plan and we delivered them. We exceeded our sales and profitability outlook, we returned the sales growth obvious life for the year and stronger for Q4. And we delivered our non-GAAP operating income more than $50 million higher than expected, 60% higher than our initial goal. We define the new growth category aggregating the exciting growth opportunities in PC Gaming, Tablets & Other Accessories, and Mobile Speakers. Then we set growth targets against that growth category and we over delivered on those targets, our sales on our growth category increased compared to the prior year and all four quarters and by 50% for the full year, demonstrating that we can deliver growth beyond our core PC peripherals market. We committed at the start of the year to significantly reduce our operating expense footprint during fiscal year ‘14 while continuing to invest in high growth potential products and we did it. The reduction in our operating expenses was a key driver of our improved profitability. We delivered our best cash flow from operations in the last four years. For prudent management of our balance sheet, we generated $202 million of operating cash flow and ended the year with a cash balance that was $136 million higher than in the prior year. Finally we said we are going to upgrade our innovation and deliver better products then we had in the past several years, with an emphasis on design. And I believe we did that too. We hired a Chief Design Officer upgraded our design organization and 121 design awards more than ever in our history including a Gold iF, 8 Good Design awards and 5 Red Dot awards. While we are pleased with these awards we measure our real success on a consumer purchase levels and satisfaction with our products. That’s my brief look back at fiscal year ‘14, before I comment on priorities for fiscal year ‘15, I would like to turn it over to Vincent for additional commentary on the quarter and the year.
Vincent Pilette: Thank you, Bracken. We are very pleased by the significant progress we made in improving operational execution and reducing our cost structure during fiscal year 2014, which has made us nimbler and more profitable. For the full year, we improved our non-GAAP gross margin by 30 basis points driven by our supply chain cost reduction initiatives and a clear focus on running some categories for profit maximization. The gross margin improvement enabled us to fund the expansion of the Growth category which now represents about 24% of our retail sales compared to 16% in fiscal year 2013. Quarter after quarter, we have consistently reduced our non-GAAP operating expenses ending the full year at 28.5% of sales compared to 31.6% in fiscal year 2013. In Q4, we delivered our lowest non-GAAP operating expense quarter of the year which as a percent of sales was down by over 500 basis points compared to the prior year. For the full year, operating expense was down nearly $60 million as we delivered on our savings commitment made earlier this year. While we are pleased by our progress in reducing our cost, there is still more work to be done to create investment capacity to support future growth and deliver the operating leverage that our business model is capable of. We see ongoing opportunities for savings related to our $250 million unused indirect procurement spend as well as our global infrastructure and related processes. The most recent example of infrastructure savings is a $5 million restructuring charge that we booked in Q4. This charge reflects the consolidation of our Silicon Valley campus on two buildings down to one. The objective of this consolidation was two-fold. First moving to an open space environment to improve our collaboration and speak up execution and second, reduce our facility expenses going forward. Becoming a faster and more profitable company is one of the key priorities of our transformation. We do not currently expect restructuring charges of a similar magnitude in fiscal year 2015, but we’ll continue to seek out and drive infrastructure related savings to generate additional investment capacity. We were very pleased with our cash generation in fiscal year 2014 with our strong performance in Q4 being a major driver. This quarter, we generated $94 million in cash flow from operations, delivering our best Q4 in the last 6 years. For the full year, cash flow from operations was $200 million for the first time since fiscal 2010 and it was 43% higher than our non-GAAP operating income of $140 million. One of the core elements of our business model is our consistent ability to deliver strong cash flow on an annual basis and this will continue to be a key area of focus going forward. Note that in Q1 FY15, cash flow from operations will be impacted by the pay out of variable compensations linked to our strong performance in FY14. Before I turn back to Bracken, I would like to extend my thanks to all employees of Logitech for their hard work and dedication in helping the company make significant progress towards our long-term business model. On that note, I’ll turn it back to Bracken.
Bracken Darrell: Thanks Vincent. I want to highlight several of our key priorities for fiscal year ‘15. At the top of list is to create sustained growth. Starting with PC Gaming, we exited fiscal year ‘14 with strong momentum with second half sales up by 45% over the prior year. Building on that momentum, earlier this month we launched our newest gaming mouse, the G502 Proteus Core tunable mouse. This first of its kind mouse has already received very favorable reviews and we’re excited about its potential to drive share gains in fiscal year ‘15. You can expect to see other innovative new PC gaming products from us in the coming months. Turning to Tablet Accessories, our plans assume that tablet market will continue to grow, possibly at a reduced rate and that sales of our products will benefit from that growth. We’ll continue to leverage our keyboard expertise as a competitive advantage by developing tablet keyboard price to drive increased attached rates for both the Apple and Android platforms. We also expect to benefit from higher attach rate on 12-inch tablets should the larger form factor prove popular for productivity related applications. We’re gradually building momentum in the large and growing tablet case market. While our share of tablet keyboards is designed for the iPad is over 50%, our tablet cover share is still in the single-digits. It’s a fragmented market and we see opportunity for meaningful games in the coming year. Earlier this week, we announced our three newest protected cases for the iPad and you can expect further additions as we move through the fiscal year. In mobile speakers, we’ve simply been thrilled with the strong consumer reception for our flagship offering, the UE BOOM. The success of this product which we launched in just a limited of number of markets in Q1 of fiscal year ‘14 was the primary factor in nearly tripling our sales of mobile speakers during the year. We significantly expanded distribution as we moved through fiscal year ‘14, positioning us for continued growth in share expansion in fiscal year ‘15. And there is more to come in mobile speakers in the year ahead. Another key priority for us in fiscal year ‘15 is to continue profit maximizing in our PC peripheral offerings. We achieved margin improvements across most of our PC peripheral lines in fiscal year ‘14 and we’re well positioned for more the same in fiscal year ‘15. Some of these savings will flow to the bottom line. But we’ll invest a significant portion in our Growth category to support our long term targets. We’ll also use some of these savings to plant seeds by making small investments in markets with attractive long term growth where we can create a strong market position. While we are not planning for improvements in the market for new PCs during fiscal year ‘15, we can't dismiss the possibility that it could be healthier than expected. Should that be the case, we expect that our PC peripheral categories would benefit. Our significantly improved results in fiscal year ‘14 demonstrate that we're on the right path. I'm confident in our ability to continue executing our strategy to return to consistent full year sales growth, while becoming a faster, more profitable company. Thus, we're confirming the full year outlook for the fiscal 2015 today that we shared at our March Investor Day for sales of $2.16 billion in non-GAAP operating income of $145 million. It's early in the year and are many uncertainties at this stage such as table growth rates, PC growth rates and more. However, I feel very good about our fiscal year ‘14 finish and I'm excited about fiscal year ‘15. And with that, Vincent and I are available now to take your questions. Please follow the instructions of the operator. Operator, are you giving instructions? Hello.
Operator: (Operator Instructions). The first question comes from the line of Alexander Peterc, Exane BNP Paribas.
Alexander Peterc - Exane BNP Paribas: Hi, hello thanks for taking my question.
Bracken Darrell: Hello Alex.
Alexander Peterc - Exane BNP Paribas: Hi. Thanks for taking the question and congratulations for strong results. I just like to understand in light of the slow iPad numbers that Apple reported today, how is that without your strong exposure to the Apple [company] tablets, and how do you feel with respect to the overall underlying growth there, and would you say your tablet accessory quarter is solely [just a part tradition] that has nothing to do with the slowed tablet units reported by Apple here? And then second, yes. And then I’ve a follow-up. Thank you.
Bracken Darrell: Okay. We will let you come back, I will go answer the first one. Yes, our net sales in tablets had really nothing to do with Apples quarter. In fact if you look at our underlying sale, you can see we have a 76% growth in units, and if you can see our -- what we look at underneath that looked very strong for the quarter. So our underlying sales were very strong in the tablet and accessories market. We are transitioning you know, you have seen in our last three or four quarters our strongest performing product has been the Ultrathin Keyboard and we are transitioning out of that product, you saw that we announced this week, we are moving to new one and really just we reduced pricing and restricted sales just so that we could move out that product and be ready for the new ones so that can flow right into stores. No, you said your first question I guess, how does that make us feel about the overall tablet market in general. We have so much -- there is such a large installed base in iPads that fit our products, in fact one of our strongest selling keyboards covers is actually the keyboard covers that apply to the [prior] iPad. So we have a big installed base and looks to us as if a lot of that installed base is still attracted to buy keyboards covers or keyboards but so we don’t see any big issue with delivering a strong keyboard cover business in fiscal year 2015. That said we also have -- there is also a natural relationship we think between tablets and PCs, and if the tablets goes out the PCs are probably be a little stronger so I think there is a natural counter weight, but we feel very good about the overall tablet keyboard market still.
Alexander Peterc - Exane BNP Paribas: Okay. And then just as a quick follow up, firstly on how you feel about your guidance being only marginally above for the current year at the non-GAAP EBIT level versus what you just reported, isn’t that a little bit light? I mean I know we can outperform but just if you could just explain your rationale here not being anything with your guidance? And then finally you have expanded to more geographies your smartphone accessory (inaudible) learned from these expansions what’s working, what’s working less well in the new products that you have launched the performance covers and so on? Thanks.
Bracken Darrell: Yes absolutely. We are not touching the annual guidance right now, we just gave it. So it’s very early in the year, we haven’t even gotten into our first quarter to speak up yet, we certainly wouldn’t change anything at this point, it’s just too early. We are also going to -- we know that Q1 will be our toughest quarter of the year. We have got very strong comps from the year ago number. You might remember, those of you who were on the call a year ago you might remember that we announced last year that we are basically completely changing the seasonality of this business as we have launched products into all of our new growth categories at the same time in Q1 and we have this very unusual seasonal strength. We expect that should be down low single digits in the first quarter but we still -- we feel very good about the year -- but it’s just too early to touch the guidance.
Alexander Peterc - Exane BNP Paribas: Okay, thanks a lot.
Operator: Thank you for your question. The next question comes from Youssef Essaegh of Barclays.
Youssef Essaegh - Barclays: Hi there. Youssef Essaegh, Barclays. Thanks for taking my questions. I have two. The first one is regarding the strong trends that you have shown this quarter in PCs. I was just wondering if you can give us a little bit of an idea of how is the sustainability there, do you expect eventually it just start to go back inline with the rest of the market or is there anything in particular that should drive it a little bit higher? And then the second one if I may is just a bounce back on the previous question. If you can give us a little bit of color on the split between Android and tablet in your sales in keyboards and covers and how do you feel your first strides into the Android [case] market has been so far? Thanks.
Bracken Darrell: Okay. Let me start with your PC question. So if I understood it correctly you’re asking, do we -- we finished strong we had a good quarter in PCs. We actually finished with a decline of about 5% or 6% and the market was down about 8%. I think our expectation is that the market for PCs is -- we’re assuming a pretty negative view of the market for the year down about 7% and we’re assuming about down 6% for our overall PC peripherals market. You can certainly get forecasts right now that are stronger than that. We’re just not going to count on it. If it come we certainly have the capacity to deliver it and we’ve grown share consistently all year long and I have no reason to think we won’t do it this year as well, we’re really well positioned there. On the tablet split between Apple and Android. As you know we just got into this Android market about midway through last year, it’s very early days, it’s still a very small portion of our total market, but we feel good about what we’ve got out there and we think we’re really in a good spot. I think it’s more of the potential counter ways. At some point in the future even I am not worried about this year having a big impact from Apple table sales. Certainly as we go into next year and the year after having a stronger attach in the Samsung portfolio would really help us offset that, I think we’re going to be positioned to do that. Let me go back and answer Alex’s first question; yes, about smarphones what we’ve learned so far. It’s early days we launched in last quarter kind of the middle, the end of last quarter we launched some products in the smartphone market and we described them as learning, we’re expanding that now. And I would say we’re learning how that market behaves, how the returns process works, how the whole market operates. And so far I think it’s a market we can do something in. We continue to work on the portfolio, stay tuned.
Youssef Essaegh - Barclays: Thanks. Am I still on the line?
Bracken Darrell: Yes, you are.
Youssef Essaegh - Barclays: Sorry, just very quickly on the PC, so you are not going to continue it for the rest of the year, but can you tell us maybe why you did so well in the quarter that just ended in March?
Bracken Darrell: I think we’ve consistently outperformed the overall PC market. And by the way the PC market didn’t perform so badly last quarter; it’s a growth on the business side and some -- a lot of stability on the business side. On the consumer, it continued to be weak, or weaker. So I think we just outperformed the market. And I have no reason to think we won’t in the future.
Operator: Thank you for your question. The next question comes from John Bright of Avondale Partners.
John Bright - Avondale Partners: Thank you. Bracken, on the quarter itself, let me go back to the gross margin question; you talked about the small impact from pricing related to the transition on the Ultrathin Keyboard Cover. Is it challenge that you have in that case predicting demand and is that something that’s going to be more of a challenge as your speeding up the company looking forward?
Bracken Darrell: I think there is -- I think it’s probably not going be more and more of challenge; it’s going to be less and less of one. We certainly are going to learn our way through different categories on how to manage the demand curve. This one in particular, remember it’s largest selling product, so the Ultrathin does have a big impact on our business. It’s becoming smaller now, as we move to beyond just the Ultrathin Keyboard into folios like the FabricSkin Keyboard and others are doing very well by the way. So, I think we’re going to be less dependent on any single product in the future. And I don’t expect it to be a big problem going forward at all.
John Bright - Avondale Partners: Vincent, is it, when want talk about gross margins for FY15 and then on the long term basis as well, what are you feeling comfortable talking about either for FY15 ranges and/or long-term?
Vincent Pilette: Yes. So on March 6, John, you’ll remember, we guided the business at a gross margin of 35.2%. And the profit maximization categories have a different gross margin than the gross. But all of the savings we’re driving from a supply chain from a procurement perspective as well as getting the effect of scale as we grow certain growth category makes us comfortable to guide the business at 35.2% for FY15 and we’re not changing that. So, within a couple of decimal points there that’s where I think our business model will lie.
John Bright - Avondale Partners: On the buyback, is this a buyback where you can be opportunistic? I think you mentioned in your prepared text that you now have all the approvals in place. Can you be opportunistic in where you want buyback more or is this more of a structured buyback that has price limits set on it?
Vincent Pilette: So, the buyback, as we mentioned on March 6, we got the Board approval for $250 million program over two years, that we will run on an opportunistic basis. And that’s how we will do it. We’ll look at different points in the market and valuations buy the stock.
John Bright - Avondale Partners: Last question, Bracken, you’ve done a terrific job on the turnaround. And as the company moves from the turnaround mode to the growth mode, you’ve talked about a lot of the organic initiatives in place. Give us a flavor from an acquisition standpoint, how important that’s going to be as we look forward?
Bracken Darrell: I look at acquisition opportunities every week now. So, I’m scanning a huge range of companies, products, technologies week in and week out. And I wouldn’t sit back and expect us to do a $400 million or $500 million acquisition, but I think we will find over time right kind of fold in acquisitions that can give us a position in new markets, new categories that will enable us to grow in high growth categories. So that’s the kind of thing we are really looking at. And I am optimistic that we will find some things over time.
John Bright - Avondale Partners: Thank you.
Bracken Darrell: Thank you, John.
Operator: Thank you for your question. The next question comes from Tavis McCourt of Raymond James.
Tavis McCourt - Raymond James: Hey guys, thanks for taking my questions and congratulations on good finish to the year. First, a housekeeping item, Vincent, can you remind us what we should be using for a GAAP and non-GAAP tax rate for fiscal ‘15? And then operational question or maybe strategic, I don’t know, but obviously you guys have to be really pleased with that the UE BOOM specifically and the mobile speaker entry this year. In terms of where you think you are on a market share basis and the segment of that market that you are competing in, obviously that share (inaudible) year. But I just try to get sense of how low the share is today, and are there other areas within mobile speakers or audio more broadly where you see opportunities to kind of double down on your bet that seems to be working? Thanks.
Vincent Pilette: Well, let’s quickly get the tax rate out of the way. So in fiscal ‘14, we finished with the non-GAAP tax rate of 13.2% for $140 million operating profit. The reason to move to non-GAAP is to avoid any impact of one-time reserve release. And that’s our core operational rate, so would you use the same for GAAP and non-GAAP and I cannot predict different one-time item in our GAAP tax rates that can come up during the year.
Bracken Darrell: On your strategic question, I guess you are right, it is strategic and operational. We feel great about the UE BOOM. And we are really excited about the overall Bluetooth speaker market. We think as I think we certainly launch this thing, wires are going to go away, everything is going to be wireless. And so we are very excited about it. The UE BOOM has done very, very well and it’s done -- it’s in different places around the world but it’s still a relatively small share compared to what it can be. Now, we have markets where it is the number one player, it’s the number one performing product in the market, but the good news is those are relatively small markets. We have strong potential in other markets around the world. We also now have offerings not only in the UE BOOM price but have that 199 and 99 and 49 and we are not done yet. So I think we have a lot -- we have strong potential here going forward and we like the formula we have. We are going to, as you said, we are going to double down on it.
Tavis McCourt - Raymond James: Okay. Thanks very much.
Bracken Darrell: Thanks, Tavis.
Operator: Thank you. The next question comes from Michael Foeth of Bank Vontobel.
Michael Foeth - Bank Vontobel: Yes, good afternoon. Question on for you Vincent regarding net working capital. I mean you squeezed out quite a lot of cash from net working capital and I was wondering how sustainable that is and how we should think about net working capital intensity going forward in your business model.
Vincent Pilette: Yes. So from a working capital days, we finished the year in the cash conversion cycle of about 29 days and it’s an improvement 4 days year-over-year. You have seen the cash from operation generate this year $202 million. I think in a prudent way moving forward and for your model, our objective is to deliver cash flow from operations at about one-time non-GAAP operating profit that we would model. And from a capital expenditure perspective, we have run rate of about $40 million and that’s for maintenance CapEx. And we have enough capacity to deliver the future growth, so I would use a similar run rate.
Michael Foeth - Bank Vontobel: Okay, excellent. Thank you.
Operator: Thank you. (Operator Instructions). The next question comes from the line of Paul Coster of J.P.Morgan.
Unidentified Analyst: Hi this is [Olsen] for Paul Coster. Thanks for taking my question. Great quarter, guys. Can you give us a little bit of more detail on the breakdown between protective covers and keyboard tablets? I know you mentioned your market share was in the mid single-digit on covers but if covers become higher percentage, can you discuss how margins will trend?
Bracken Darrell: Yes, I’ll address that. Today our keyboard covers are the vast majority of that business. So it’s more 80%, 90%. And the margin equation though is very similar between the two. So you shouldn’t expect the big change as we start to grow the cover market faster.
Unidentified Analyst: Okay. Got it.
Bracken Darrell: But as I said, I am really optimistic of our ability to do that. And I think it’s a big opportunity for us.
Unidentified Analyst: Okay. And why are you releasing flurry of new iPad tablet accessories? You know the iPad Air has been out for about six months now; why not wait until the new release of the next generation where adoption rates are probably most likely the highest?
Bracken Darrell: We just saw we had a big opportunity to launch the products that would accessorize the iPad Air in a strong way. So we’re not going to do anything but keep doubling down on accessorizing new products in the iPad space, in the Android space. And so we think that cycles are fast enough and we certainly thought we had an opportunity in the market to take some share there that we weren’t really participating in.
Unidentified Analyst: Okay. Thanks guys.
Operator: Thank you. The next question comes from Andrew Humphrey of Morgan Stanley.
Andrew Humphrey - Morgan Stanley: Hello, good afternoon and thanks for taking my question. Just a couple from me. The targets that you have articulated and moved around slightly in the recent Investor Day include some growth in your PC keyboard or keyboards investor business, which clearly is outperformance versus the broader PC market. More recently I guess you’ve launched an update on your living room product there for keyboards particularly. Can you say is that a sort of thing we should be looking to see more over the next few years in terms of outperformance in the keyboard business versus the broader PC market? My second question is on the America’s business in particular, your sell through that was about 10 percentage point entire than sale into the channel, can you give us a bit more color on what’s behind that, is that a function of looking to purge the channel a bit on tablet accessories ahead of new product launches? And finally I wonder if you go into a bit more detail on the strength that you’ve seen in gaming this quarter and that percentage behind that?
Bracken Darrell: Sure. On the keyboard question, you have there two different areas where we see growth in keyboards, one of them as you said is keyboard for TVs, and you are right we did launch a new keyboard that has eliminated keys which great and we're not done yet there, it’s a pretty interesting space and we see long term growth potential there. We also see a couple of other the key growth segment that I don’t want to get in too specifically for competitive reasons, but we think there are opportunities there. You answered your own question on the sell through, sell through versus sell-in the America, so you exactly right, it relates to a full discussion we had about tablets earlier. And third question was…?
Andrew Humphrey - Morgan Stanley: The strength in gaming.
Bracken Darrell: Yes, strength in gaming. I think in the first half of the year, we said where we expect to start a little slow and we managed to do that very effectively especially in Q2. But we said, we pick it up in the back half, since we started launch some really meaningful new products, but we're launching meaningful new products and we're seeing the difference there. And I expect that to continue right into next year.
Andrew Humphrey - Morgan Stanley: That's great. Thank you.
Bracken Darrell: Thank you.
Operator: And the next question comes from Joern Iffert of UBS.
Joern Iffert - UBS: Thanks for taking my question. And please apologize my [extra runs] it's on your three year profitability plan. And the non-GAAP EBIT of $185 million by fiscal 2016, just to get a better feeling for savings and investments, can you roughly give us a split what will be the contribution from further maximizing profitability on mice, keyboards and what will be the contribution of your growth areas here, is it 50-50, is it more focused on maximizing the current and cash counts? It would be the first question. And second question would be and what is your general dividend policy and payout targets for the next couple of years? Thanks.
Vincent Pilette: Hey Joern, this is Vincent, I'll take care (inaudible). So, the $185 million of operating profit targets for fiscal 2016, the third year of our turnaround would really come from the gross category becoming a much bigger piece of our portfolio. And as you've seen in our topline target, we finished the year now, the full year at 1%, next year that growth accelerate slightly and then we continue to accelerate as a gross category become a bigger piece of the portfolio. Maybe just slight margin improvement, but that's pretty mature in some of growing or [scanning] the gross categories and improving the margin there. And then from an operating expense perspective, for sure we bring the profit maximization category to deliver more profit. But we really expect to invest some of that to fuel the growth and fund the Growth category. So that’s $185 million. And then the second question is around dividend. So, we clarified our capital allocation framework at the investor day. As I mentioned, the number one usage for cash would be for tuck-in acquisition and Bracken mentioned that he and the management team are really very active for reviewing the different opportunities there. Secondly, we would give the annual dividends. The amount is normally clarified during the proxy in July and then rectified by shareholders at the AGM meeting in September and so expect information over summer around that topic. And then we have the $250 million buyback program for opportunistically purchase -- share repurchase.
Joern Iffert - UBS: All right, thank you very much.
Bracken Darrell: Thanks John.
Operator: The next question comes from Youssef Essaegh of Barclays.
Youssef Essaegh - Barclays: Sorry, I was back in the queue. Just a quick question again on the guidance. Do you take into account the potential revenue from new products like the one you described earlier as in learning mode at the movement like basically is there going to be a new category added to the already long list that you have at the movement that you take already into your account in your guidance or no?
Bracken Darrell: No, we don’t, it’s not in the guidance. But as we proved that out, we will come back and talk to you about that, but it’s not the case.
Vincent Pilette: And then it’s consistent with we always said and reaffirmed in March, the current turnaround planned targets are base on the current business we have maximizing profit for the PC category and doubling down on the three growth opportunities tablets, music and PC gaming.
Youssef Essaegh - Barclays: Thank you.
Operator: Thank you. It appears we have no further questions. At this time, I will turn the conference back over to Mr. Darrell for closing remarks.
Bracken Darrell: Well, thank you all for participating today. I am really thrilled with the quarter and the year. I am really proud of what the team here has done and every employee. But I am still excited and we can so much more. We have entered the next phase for Logitech. I am more enthusiastic than I have been since I joined the company. I think we are going to continue to evolve it into a long-term growth engine. The landscape in which we play continues to be dynamic but we have never had so many opportunities. We expect to expand the scope of our Growth category periodically adding to our long-term growth potential. That and/or healthier PC market, both could benefit us in this fiscal year. Our team is focused on delivering our full year targets for fiscal year ‘15 on building an amazing company for the years to follow. And we’ll certainly keep you updated on our progress. Thanks again.
Operator: That concludes our conference call for today. You may now all disconnect. Thank you.